Operator: Good day, and welcome to this American Woodmark Corporation conference call. Today's call is being recorded. The company has asked us to read the following Safe Harbor Statement under the Private Securities Litigation Reform Act of 1995. All forward-looking statements made by the company involve material risks and uncertainties and are subject to change based on factors that may be beyond the company's control. Accordingly, the company's future performance and financial results may differ materially from those expressed or implied in any such forward-looking statement. Such factors include, but are not limited to, those described in the company's filings with the Securities and Exchange Commission and the annual report to shareholders. The company does not undertake to publicly update or revise its forward-looking statements even if experience or future changes make it clear that any projected results expressed or implied therein will not be realized. At this time, I would like to turn the call over to Glenn Eanes, Vice President and Treasurer. Please go ahead.
Glenn Eanes: Thank you. Good morning, ladies and gentlemen, and welcome to this American Woodmark conference call to review our fourth quarter and full year results for our fiscal year ending April 30, 2013. Thank you for taking time to participate. Participating on the call today from American Woodmark Corporation will be Kent Guichard, Chairman and Chief Executive Officer; and Jon Wolk, Chief Financial Officer. Jon will begin with a review of the quarter, concluding with an outlook on the future. After Jon's comments, Kent and Jon will be happy to answer any of your questions. Jon?
Jonathan H. Wolk: Thank you, Glenn. This morning, we released the results of our fourth quarter ended April 30, 2013. Our earnings release contain the following highlights: For the fourth quarter, net sales were $171.1 million, representing an increase of 26% over the prior year's fourth quarter. We reported net income of $5.2 million and EPS of $0.34 per diluted share as compared with the prior year's net loss of $6.0 million or $0.42 per diluted share. Results in both fourth quarter periods included onetime items. In the fourth quarter of fiscal year 2013, restructuring charges and an insurance recovery were a net positive of less than $0.1 million. Excluding these items, net income was $5.1 million and $0.34 of EPS. Results for the fourth quarter of fiscal year 2012 included net of tax restructuring charges of $2.3 million or $0.26 per diluted share and a net write-off of slow-moving inventory of $0.7 million or $0.05 per diluted share. Excluding these items, the fourth quarter's prior year net loss was $1.6 million or $0.11 per diluted share. The company generated $20.4 million of positive free cash flow compared with $0.3 million of positive free cash flow in the prior year's fourth quarter. For the fiscal year ended April 30, 2013, net sales were $630.4 million, up 22% over the prior year. Excluding restructuring charges, net income was $10.6 million or $0.72 per diluted share. Excluding restructuring charges and the insurance recovery, net income was $10.0 million or $0.68 per diluted share. These results were significantly improved from the prior year's net loss excluding restructuring charges of $10.8 million or $0.76 per diluted share. Excluding restructuring charges and the insurance recovery, the company's operating income improved by $34.8 million during the fiscal year on a sales increase of $114.6 million, resulting in an incremental operating profit rate of 30%. In December 2011, we announced a restructuring initiative to reduce the company's cost structure. This initiative included permanently closing 2 manufacturing plants, placing a previously closed plant up for sale and realigning our retirement program. The 2 plants ceased operations in April and May of 2012, respectively, and the company's pension plans were frozen effective April 30, 2012. The majority of the costs pertaining to the restructuring initiative was recorded in the company's fourth quarter of fiscal year 2012, and a net of tax charge of $6.3 million or $0.43 per diluted share was recorded. Inclusive of that charge, the company's net loss for the 3 and 12-month periods ended April 30, 2012, was $6.0 million and $20.8 million, respectively, while the loss per share including these charges was $0.42 per diluted share and $1.45 per diluted share, respectively. During the 3 and 12-month periods ended April 30, 2013, the net of tax impact for this initiative was $0.3 million or $0.02 per diluted share and $0.9 million or $0.06 per diluted share, respectively. Net income, including restructuring charges for the 3 and 12-month periods ended April 30, 2013, was $5.2 million or $0.34 per diluted share and $9.8 million or $0.66 per diluted share, respectively. When we commenced fiscal year 2013, we provided our expectations about market activity and our performance. Regarding the remodeling market, we expected that existing home prices would finally bottom and begin to slowly increase as the fiscal year progressed. We also expected that cabinet market remodeling sales would correlate with this activity and be roughly flat for our fiscal year 2013. Regarding the new construction market, we expected that single-family home starts and new construction market sales of cabinets would both grow at a mid-single-digit rate as they had during our previous fiscal year. Both markets exceeded our expectations during the fiscal year. Remodeling market managed what appears to have been a mid-single-digit improvement while the new construction market was far more robust than we had expected. Remodeling market fundamentals have become encouraging, but they have not yet translated into significantly improved cabinet sales. Both the number of existing homes sold during our fiscal year and the median price of those homes each registered 10% improvement over prior year. Private sector employment remains a continuing positive with seasonally adjusted employment levels having increased every month since March of 2010. And the Case-Shiller index has indicated home price appreciation for 13 consecutive months and the amount of price appreciation has been accelerating. This improving fundamentals for the existing home market provide the underpinning for an improving cabinet remodeling market. Sales reported by members of the Kitchen Cabinet Manufactures Association during our fiscal year were indicative of a total market that was up by roughly 11% inclusive of a new construction market that was up by over 20% and therefore suggestive of a remodeling market that improved at a mid-single-digit rate for the year. Against this remodeling backdrop, our company's remodeling sales increased at a high single-digit rate for the fiscal year, including a double-digit increase during our fourth quarter. Our remodeling sales growth was indicative of gains with both home centers and dealers. Although the remodeling market for cabinets has begun to improve, promotions employed by the company's largest remodeling customers and its competitors have remained near their elevated levels that have persisted for the last 2.5 years. However, recent actions suggest an easing in this activity. The company continues to maintain its promotional levels in line with market activity with a goal of remaining competitive. The company experienced fourth quarter promotional costs that were lower than both the prior year's fourth quarter and the first 3 quarters of fiscal year 2013. For new construction, housing starts have far exceeded our growth expectation. Building on an uptrend that began in calendar 2011, total housing starts rose by 32% during the company's fiscal year to approximately 850,000. Breaking this down further, single-family starts rose by 28% while multifamily grew by 40%. The growth in single-family starts, the market primarily served by the company,, significantly exceeded our expectation of a mid-single-digit increase. 28% growth in single-family home starts helped propel the company year-on-year new construction sales gains of over 40% in every quarter of the fiscal year, indicating that the company's sales gains resulted from both market growth and from its market share gains. The company's gross profit margin for the fourth quarter of fiscal year 2013 was 18.9% of net sales, which represented a significant jump over the roughly 15% gross margin rate for the first 3 quarters of the fiscal year and well above the prior year's 12.7% of net sales. The company generated a fourth quarter year-over-year incremental gross margin of $14.9 million on incremental net sales of $34.9 million, resulting in an incremental gross margin rate of 43%. Excluding the prior year's provision for slow-moving inventory, the company's incremental gross margin rate was 40% of incremental sales for the fourth quarter. The company realized excellent leverage on its manufacturing overhead costs, driven by both the significant sales gains and savings from the 2 plant closures. The company experienced inefficiencies related to its transition efforts earlier in its fiscal year that were completely resolved during its third quarter. As a result, the majority of the company's sequential fourth quarter gross margin improvement was driven by its labor cost improvement. Some of this favorability was offset by rising material costs that have increasingly become a factor that is adversely impacting margin. The company received notification of several raw materials price increases during and subsequent to its fourth quarter. Total operating expenses were significantly improved at 13.7% of net sales in the fourth quarter of fiscal year 2013 compared with 15.2% in the prior year's fourth quarter. Operating expenses were 13.5% of net sales for the entire fiscal year 2013, compared with 16.2% in the prior fiscal year. Selling and marketing expenses were 8.7% of net sales in the fourth quarter of fiscal 2013 compared with the prior year's fourth quarter of 10.3%. Selling and marketing expenses were 9.1% of net sales for the entire fiscal year 2013 compared with 11.3% in the prior year's fiscal year. Selling and marketing costs experienced a fourth quarter year-on-year increase of $0.7 million or 5% on a sales increase of 26%. Increased commission and staffing costs related to the company's higher sales levels were offset in part by savings from changes to the company's retirement plans as well as lower customer display and product launch costs. General and administrative expenses were 5.0% of net sales in the fourth quarter of fiscal year 2013 compared with 4.8% in the prior year's fourth quarter. G&A costs were 4.4% of net sales for the entire fiscal year 2013 compared with 4.9% in the prior fiscal year. G&A costs increased by $2.1 million or 31% compared with the prior year's fourth quarter, driven almost entirely by increased costs elated to the company's performance-based compensation plan that more than offset cost reductions from the company's retirement plan change. Operating expenses increased sequentially from 13.1% of net sales in the third quarter of fiscal year 2013 to 13.7% of net sales in the fourth quarter, driven primarily by increased incentive compensation costs that reflected the company's higher sales and profitability levels. The company's restructuring initiative resulted in the permanent closure of 2 manufacturing plants and a realignment of its retirement program. This initiative was launched in the third quarter of fiscal year 2012 with a pretax restructuring charge of $10.3 million. An additional $6.0 million of pretax restructuring charges were recorded in the fourth quarter of fiscal year 2012, bringing that year's total to $16.3 million. During fiscal year 2013, the company recognized pretax restructuring charges related to this initiative of $0.8 million in the first quarter, $0.1 million in each of the second and third quarters and $0.5 million in the fourth quarter. The company has recorded virtually all of the restructuring charges related to this initiative as of April 30, 2013. Two remaining properties held for sale are expected to sell in the first half of fiscal year 2014. The company generated operating cash flow of $21.9 million during the fourth quarter of fiscal year 2013 compared with $2.6 million for the fourth quarter of its prior fiscal year. This substantial improvement was driven primarily by the company's nearly $8 million growth in net income compared with the prior year's fourth quarter and from the nearly $10 million improvement in the timing of receivables collections. The company's accounts receivable at April 30, 2013, was $6.5 million or 20% higher than at the end of its prior fiscal year compared with year-on-year sales growth of 22% and fourth quarter sales growth of 26%. The company's investment in capital expenditures and promotional displays during the fourth quarter of fiscal year 2013 was $2.5 million, roughly in line with the prior year's investment level. For the entire fiscal year, the company's gross investment in capital expenditures and promotional displays was $13.6 million, up 36% above the prior year's $10 million. The increase was driven by outlays for equipment to enhance production volumes and by increased promotional displays deployed with new customers. The company received $6.4 million in proceeds during the year from property sales from closed facilities and $1.0 million in insurance recoveries, which more than offset the increased capital outlay. The company generated positive free cash flow, defined as operating cash flow net of cash used for investing activities, of $20.4 million during the fourth quarter of fiscal year 2013 compared with $0.3 million in the prior year's fourth quarter. The improvement was driven by the strong operating cash flows. For the entire fiscal year 2013, the company generated free cash flow of positive $18.4 million compared with free cash flow of positive $6.1 million in the prior fiscal year. The $12 million improvement was in turn driven by an $8 million improvement in operating cash flows combined with a $4 million reduction in net investing outflows. The operating cash flow improvement was driven by the $30 million improvement in net income, offset in part by pension contributions and net working capital investments. The improvement in cash used for investing activities was driven by the combined $7.4 million in proceeds received from asset sales and insurance recoveries that exceeded the $3.6 million increase in capital outlays. The company's financial position remains outstanding. During the quarter, the company executed an amendment to its revolving credit agreement that eliminated all restrictions upon its cash. The company ended the quarter with a total of $96.9 million in cash and cash equivalents compared with long-term debt of $23.6 million. Long-term debt-to-capital was 13.9% at April 30, 2013, down from 15.5% at April 30, 2012. The company continues to evaluate its cash on hand and prospects for future cash generation and compare these against its go-forward reinvestment plans for future capital expenditures. Although this evaluation of these future capital expenditures is ongoing, the company anticipates that it will make opportunistic repurchases of its common stock from time-to-time during fiscal year 2014. In closing, we continue to manage the business with the objective of delivering a superior customer experience and long-term value for our shareholders. We continue to invest in a number of initiatives, including: improving the quality and breadth of the company's products and services, maintaining competitive promotional levels to sustain our market share in a still challenging remodeling market, expanding channels of distribution that have not previously been emphasized and maintaining a capability for future growth as market conditions improve. We continue to expect that market activity will eventually return to its historical norms of 1.25 million to 1.4 million new households per year and 1.5 million new housing starts per year. Market data seems to indicate that housing has emerged from its long multiyear downturn and has resumed a growth trajectory. However, consumer confidence and macroeconomic conditions remain uncertain and difficult to predict and many consumers remain unwilling or unable to make large ticket purchases because of lower home prices, availability of credit or because they simply lack confidence. From a market perspective, many of the global macroeconomic concerns continue to persist, chiefly budget deficits and persistently high unemployment level. However, jobs continue to be created here in the United States and housing fundamentals are strengthening, U.S. household formation is approaching normal levels, rental rates and home prices are rising, inventories of both new and existing homes for sale remain at their lowest levels in years and mortgage rates remain near historic lows. Recent trends indicate that existing home prices have bottomed and begun what many expect will be a slow and lengthy climb upward. Although the cabinet remodeling market remains tepid, we continue to expect that cabinet remodeling sales will follow the direction of existing home prices and that market remodeling sales will continue to slowly improve. Single-family housing starts have continued to show strength. Market sentiment indicates that single-family starts are expected to grow by approximately 25% for its second consecutive year during calendar 2013. Having described our expectations for the market, I will state our expectations for company-specific performance. The company's remodeling sales growth exceeded the market by several percentage points in fiscal year 2013 and seems poised to continue this type of performance in fiscal year 2014, driven primarily by growth in dealer sales. The company gained significant market share in the new construction sector during the last 2 years, which enabled the company's growth rate to exceed the markets by roughly 15 to 20 percentage points. Now that prior year's sales comps have become more formidable, the company expects that sales growth in its new construction channel will be fairly close to that of the overall market. These expectations suggest the potential for a fourth consecutive year of double-digit sales gains in the company's total sales, albeit at a lower level of growth than the company experienced in fiscal year 2013. Now that it has resolved its transitional operating inefficiencies, the company expects that it will increase its gross margin rate and grow its net income during fiscal year 2014. This concludes our prepared remarks, and we would be happy to any answer any questions you have at this time.
Operator: [Operator Instructions] We'll go first to David MacGregor with Longbow Research.
Zoran Miling - Longbow Research LLC: This is Zoran Miling in for David MacGregor. I guess just firstly just with regard to the opportunistic buybacks, are you able to attach a dollar figure to that? Or maybe even asking it another way, kind of what's the minimum cash balance you need to maintain your day-to-day operations?
Jonathan H. Wolk: We haven't attached a dollar value to that yet. And the minimum amount of cash that we need to maintain operations fluctuates over time based upon our assumption of market conditions and how the company is performing. I think we certainly feel there is a level of cash now that is probably in excess of that. But then again, as I had mentioned, we are reconsidering our capital plans for next year and the years that follow it and so there's a bit of a calculation that goes on in there. But I think based on the year's strong finish, we anticipate that we will be able to, as I said, resume opportunistically repurchasing the stock as the year progresses.
Zoran Miling - Longbow Research LLC: That's helpful. And then I know it's an ongoing process and you've done very well, thus far, but can you maybe update us on your efforts to further your presence in the dealer channel? And also I believe, you mentioned on a previous call that, that business was at maybe $5 million on a quarterly run rate. Can you maybe update us as well as to where that stands currently and maybe where you'd like to be going forward?
Kent B. Guichard: Yes, sure. I mean, we continue to progress kind of where we are as we now have what we consider to be a good and critical mass of national dealers. I think the next leg in the journey for us on the dealer channel is not so much to sign up additional outlets, although I'm sure we will continue to do that but at a much lower rate, as much as it is, is to penetrate and really get throughput through the dealer system we have, it's kind of Phase 2. The first one was to get enough dealers out there, so the brand had meaning in the marketplace, we've done that. And now what we're going to try to do is focus on increasing the throughput through the outlets that we have. It continued to build throughout the year. Jon mentioned for the year that our remodel sales were up high single digits. About 2/3 of that overall growth, 1/2 maybe to 2/3 of that overall growth, came out of our dealer initiative and it climbed through the year, so we came out of the year obviously stronger than the beginning of the year. We look for that to continue to go through 2014 on a continued kind of growth. And again, as Jon kind of mentioned in his remarks, we expect growth in '14 out of the remodel side and we expect most of that, quite frankly, come out of the dealer channel.
Operator: Our next question comes from Peter Lisnic with Robert W. Baird.
Peter Lisnic - Robert W. Baird & Co. Incorporated, Research Division: Jon, just going back to the capital allocation question, first point would be or first question would be it sounds like maybe there's some capital you need to invest in the business. I'm just wondering is it going to be a marked step-up from kind of the run rate that we have seen over the past couple of years? In other words, is there some significant capacity add that you think you might need to use some of that cash with?
Kent B. Guichard: Yes, I'll go ahead and take that one. And yes, I think the answer to that is we talked about at the last couple of calls that the growth rate we've seen, particularly out of the new construction side, has probably put us 12 to 18 months ahead of where we thought we'd be on capacity utilization. Our current forecast based on what we expect to happen going forward is that we would probably need to bring some new capacity online in the fall of 2014, which -- late summer to early fall of 2014, which means with lead times depending on where the capacity is; with lead times, probably this fall into the winter, we would start to see a step-up related to getting that capacity in place so, again, so we can bring it online basically in 15 months. The size and the extent of that, we don't know. We're going through that work right now to determine exactly what that capacity would be. In terms of the area of our operation, we're certainly finishing, but there may be some component in other areas and where the best place to do that is. We expect to complete that work in the current fiscal quarter. So by the time we get to our announcement for our first fiscal quarter of '14, we think that we should be able to give you all some better guidance in terms of the actual magnitude of what that capacity expansion would entail.
Peter Lisnic - Robert W. Baird & Co. Incorporated, Research Division: And are we looking at -- would that be greenfield plant? Or maybe I should take a step back and say or ask, if I look at the current capacity that you have, what are, and I know you talked about it in terms of hard utilization and soft, where we at in terms of utilization numbers for current footprint?
Kent B. Guichard: Well, on a practically crewed basis, we're in good balance. We're basically running at capacity from a crewed standpoint. If you look at it on a brick-and-mortar kind of basis, we're probably running about 80%. Now, again, that doesn't mean you don't need to buy a machine here or there, but basically we're probably running about 80%. And that's when -- if you projected the growth rate that Jon talked about, that's why we'd probably need to bring some additional capacity on next fall, at fall of '14. In terms of where we'd be, I doubt -- again, we haven't completed the plans, I would really doubt that it would be a greenfield facility. It's more likely to be an addition on an existing facility that we have. We have a couple of facilities where we have additional property and the original designs of the building allows for expansion. Now and again, we get a lot of leverage out of management, out of systems infrastructure, those types of things. So it would probably be an expansion of an existing site rather than a new site.
Peter Lisnic - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then my guess is the industry is not running at 80% utilization, so what are the odds that maybe there are some assets out there that you could just acquire that would be perhaps a more attractive use of capital than the alternative, i.e., capacity expansion?
Kent B. Guichard: Well, not really any and the reason is twofold. One of them is as a vertically integrated manufacturer, we need our plants to be in proximity of each other. So if you get a -- a flat stock plant or a component plant, a finishing operations that needs to basically feed an assembly operation, so geographically it doesn't really work. The other one is while we're all in the same industry, we all do things to a different -- significantly different enough degree that even if we bought a facility, we'd have to retool it to the extent that it -- from a financial standpoint, it makes more sense just to go ahead and do it ourselves.
Peter Lisnic - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then just the last one on capital allocation. Formerly, there was a dividend in place, but I didn't hear that as part of the capital allocation mix. What's the consideration on the dividend as we look forward?
Kent B. Guichard: Yes, at the moment, we're not considering the dividend route. I think, as Jon mentioned, to the extent that we have excess capital above our CapEx and what we think are prudent reserves, our -- what we're going to do is, assuming that we'll pick the right opportunity to enhance our shareholder value because I think our cash, excess cash, at that point will be through stock repurchases, we're not really considering a dividend at this time.
Peter Lisnic - Robert W. Baird & Co. Incorporated, Research Division: Okay, all right. Then last one, just to switch gears. The pricing environment sort of stabilized, plateaued, whatever the right word is. As you look to that going forward, let's just say it kind of stays where it's at, does that have any implications for what you might be able to realize in terms of your gross margin targets that you've laid out for us in the past, i.e., the kind of low 20% gross margin range, does that have impact on you being able to achieve that?
Jonathan H. Wolk: Pete, just to clarify, when you said the pricing environment, what are you referring to exactly?
Peter Lisnic - Robert W. Baird & Co. Incorporated, Research Division: Promotional, sorry.
Jonathan H. Wolk: Okay.
Kent B. Guichard: Yes -- no, I don't -- I'm not sure what -- I mean, what we've seen, and again Jon kind of mentioned, I can maybe go a little bit more on the remodel side is, I think we've seen a lot more activity in the marketplace in terms of competitors and customers trying to find that point on the elasticity of demand curve where they are generating that last incremental sale, but they're not throwing money at a sale that they already would have had. So we have seen some easing of that. We've also seen some changes in the nature of it where it's gone from kind of a one-size-fits-all brute force approach to promotions to real targeted promotions, even down to a door style level. But some of those targeted promotions have been very, very aggressive. So I think people are out there trying a lot of different things. Overall, it's down. So I think from a net standpoint, pricing is moving up. I don't -- I think the biggest risk quite frankly to the gross margin side, again as Jon mentioned, is we are seeing material price inflation. And I think particularly short term -- long term we have a history as an industry of recovering permanent raw material increases, But as we've talked about many times on these calls, there can be a timing difference between when the industry starts to get some input increases inflation and when we can pass it on. I think that's more of a risk to margin than the pricing environment at this point. If you get leverage out of additional volume, I think that can still get us up in that kind of low 20 range. And then it's just a question, more in my mind, is what we're seeing now as opposed to the pricing environment it's the trade-off between raw material inflation and when we can recover that from the market place.
Operator: [Operator Instructions] Next, we'll go to Scott Rednor with Zelman & Associates.
Scott Rednor - Zelman & Associates, LLC: Just drilling back down on the gross margin. If we hold inflation and promotional activity constant, recognizing that the inefficiencies are behind you guys now, how should we think about that opportunity going forward? Is that 30% incremental still a fair bogey or could it be potentially higher based on all the actions you guys have taken?
Jonathan H. Wolk: Scott, I think, as we think about the business, the traditional sort of incremental operating leverage has been sort of 25% to 30% on the gross margin line on an incremental basis. And of course, there's some variables that impact that either way. As Kent mentioned and I've referred to the raw material price increases, it can tend to dampen and put you at the lower end of the range; however, some of the efficiencies that we've realized can raise it to the higher end of the range. But I still think we're sort of within that range. Time will tell, but that's sort of our planning assumption right now.
Scott Rednor - Zelman & Associates, LLC: And the fourth quarter, just to be clear, reflects everything is in the numbers in terms of your savings and that's a clean number, too, as a starting point going forward?
Jonathan H. Wolk: Yes, we believe so.
Scott Rednor - Zelman & Associates, LLC: Okay, great. And then on the G&A line, recognizing that there's going to be some noise quarter-to-quarter, how should we think about how incentive comps should trend going forward with the expected sales growth you have even if it's on an annual basis just to get a feel for that to the extent that line item should trend?
Jonathan H. Wolk: Yes, the G&A line, as I mentioned in my comments, was unusually impacted during the fourth quarter by higher incentive compensation because we were sort of catching up based upon roughly 1/2 of the year's net income being realized in the fourth quarter. Roughly 1/2 of our incentive compensation expense was realized in the fourth quarter as well just to time that right. So I would say that probably, looking forward, the G&A line might be about $1 million lighter in an ongoing quarter, for instance, just to normalize that.
Scott Rednor - Zelman & Associates, LLC: Got you. And then just last, the tax rate going forward, where do you guys expect to come out as you look forward?
Jonathan H. Wolk: Now, I was just having this conversation yesterday with my tax guy, Kevin, and I think a little bit less than 40% to be conservative. I'm hoping for a bit better than that, but Kevin's holding me to a little bit higher than I'd like.
Operator: And with that, that is all the time we have for questions today. I would like to turn the call back over to our presenters for any final and closing remarks.
Glenn Eanes: Since there are no additional questions, this concludes our call. Again, thank you for taking time to participate. And speaking on behalf of the management of American Woodmark, we appreciate your continuing support. Thank you, and have a good day.
Operator: Once again, ladies and gentlemen, that does conclude today's call. Thank you for your participation, and have a great day.